Operator: Thank you for standing by. This is the conference operator. Welcome to Black Diamond's Fourth Quarter Results Conference Call. As a reminder, all participants are in listen only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions [Operator Instructions]. I would now like to turn the conference over to Mr. Sean McPherson, Investor Relations Specialist. Please go ahead.
Sean McPherson: Good morning. Thank you for joining Black Diamond Group's fourth quarter and full year 2024 results conference call. On the line with us today is Chief Executive Officer, Trevor Haynes; and Chief Financial Officer, Toby Labrie, as well as Chief Operating Officer of Modular Space Solutions, Ted Redmond; and Chief Operating Officer of Workforce Solutions, Mike Ridley. Please be reminded that our discussions today may include forward-looking statements regarding Black Diamond's future results and that such statements are subject to a number of risks and uncertainties. Actual financial and operational results may differ materially from these forward-looking expectations. Management may also make reference to various non-GAAP financial measures in today's call, such as adjusted EBITDA or net debt. For more information on these terms and others, please review the sections of Black Diamond's fourth quarter 2024 management's discussion and analysis entitled forward-looking statements, risks and uncertainties and non-GAAP financial measures. This quarter's MD&A, financial statements, and press release may be found on the company's Web site at www.blackdiamondgroup.com and also on the SEDAR+ Web site at www.sedarplus.ca. Dollar amounts discussed in today's call are expressed in Canadian dollars, unless noted, and may be rounded. I will now turn the call over to Trevor Haynes to review the operational highlights.
Trevor Haynes: Thank you, Sean. And good morning, everyone. Thank you for joining us this morning. Management is pleased to report continued progress with another strong quarter and full year of growth across the platform, with signs of momentum continuing into 2025. We ended the year on solid footing, reflective of the good work of our teams. Black Diamond generated $132.7 million of revenue in Q4, up 28% from the comparative quarter, $37.2 million of adjusted EBITDA, up 43% from the comparative quarter and consolidated rental revenue of $38.5 million, up 7% from the comparative quarter. I will leave the balance of the quarterly commentary to Toby Labrie in a minute here and move on to full year. Our full year consolidated rental revenue was up 1% to $146.8 million over the prior year and adjusted EBITDA rose 6% to $113.3 million. This results in a five year annual compounding growth rate for revenue of 17%, up 18% for rental revenue and 24% for adjusted EBITDA and 8% for return on assets or ROA. Capital expenditures in 2024 were $109.2 million, the bulk of which was for rental revenue or rental fleet growth and of that the majority is with customer contracts in place. This growth is evident in our contracted rental -- our contracted revenue outstanding of $159.4 million at year end, which is up 17% or $23 million from the prior period. This robust rental investment and growth informs our confidence in the business's performance heading into 2025. All areas of the business produced strong results in 2024. MSS generated record rental revenue of $94.1 million, up 10% from the prior year while continued to grow -- while continuing to grow its contracted future rental revenue by 26% to $128.7 million at year end. Adjusted EBITDA in 2024 for the business unit of $77.8 million increased 7% from the prior period. WFS delivered total revenue of $179 million and adjusted EBITDA of $58.1 million, down 4% and 2% respectively from the prior year. Contracted future revenue of $30.7 million is down 11% or $3.9 million from the comparative quarter. As a reminder, these marginal decreases were primarily due to the completion of two large scale pipeline camp projects but highlight the resilience of this segment's ability to redeploy assets and continue to generate a strong return on assets. Finally, LodgeLink continued its strong growth trajectory with gross bookings up 21% year-over-year to $94.8 million. Total room nights sold increased by 23%, 517,382 and net revenue reached a record $11.4 million, up 16% from the prior year. These results highlight the effectiveness of our operational strategies in a dynamic marketplace and underscore the importance of our approach to disciplined execution. We continue to reinvest cash flow back into the business, primarily with contract backed opportunities. This resulted in a capital investment program in 2024 that was up 58% on a gross basis and up 59% on a net basis, resulting in full year capital expenditures of $109.2 million. Looking ahead to 2025. We continue to believe there's ample opportunity for reinvestment but also expect to be active through our NCIB share buyback program. Further, the company remains in a strong financial position with stable free cash flow generation, a strong balance sheet and available liquidity of $103.1 million at year end. This is prior to the recent extension and expansion of our asset based lending facility, which was increased by $100 million to $425 million and turned out to February 20, 2030. This will support company's sustained growth trajectory, both organic and inorganic, not only in 2025 but well beyond. While macroeconomic uncertainty related to tariffs is very topical, let me address this from a Black Diamond perspective. We believe Black Diamond with its diversified geographic and industry exposure remains well positioned in such a backdrop as we anticipate ongoing growth in a number of our verticals. As many of you would be aware, the company does not manufacture, import or export product between Canada and the United States. Our businesses operate locally and at scale in both countries. As such, we do not expect direct impacts from tariffs. Areas that could be impacted include rising input costs for procurement of new fleet assets or a second derivative impact from lower customer activity in certain sectors. However, we are seeing continued steady demand in our local markets, which leads us to believe our business will have opportunities for ongoing growth and performance. The asset management basis of our business has been and continues to be a beneficiary of inflation. Should the current macro backdrop result in accelerated inflationary pressures, we expect our existing assets will continue to benefit through higher rents, while we maintain our capital allocation discipline on new investments and will only look to add new fleet assets, should we be successful in ensuring continued strong return on asset characteristics, consistent with our trailing performance. With continued strong demand across our end markets and therefore opportunities for growth investment, we are seeing continued demand in education and major infrastructure, as well as humanitarian, disaster recovery and military related projects, coupled with an already healthy amount of contracted rental revenue in place. In summary, 2024 was another very successful year for Black Diamond. We continue to focus on the ongoing compounding profitable growth, diversification and scale of our portfolio, especially rental accommodation and workforce travel management businesses, resulting in robust five year compounding annual growth rates across the business. With MSS rental revenue CAGR of 23% over the five years, WFS rental revenue CAGR of 10%, LodgeLink gross bookings compounding annual growth rate over the five years of 44%, consolidated rental revenue CAGR of 18% and consolidated EBITDA for the whole company growing at a compounding rate of 24% through the five years. Our growth strategies are firmly rooted in discipline, prudent return on asset capital allocation and operating excellence. We have the financial flexibility and strength in our best in class teams to capitalize on the opportunities that lie ahead with a substantial amount of future contract backed rental revenue, strong free cash flow characteristics and ample liquidity, Black Diamond has all the necessary tools required to continue to compound long term growth and shareholder value. I will now turn the call over to our CFO, Toby Labrie, for a more in-depth look at the quarter and overall financial condition of the company. Toby?
Toby Labrie: Thanks, Trevor. And good morning, everyone. Building on what Trevor just covered, I'll provide some specifics around our fourth quarter, our fleet utilization and performance, our balance sheet, as well as give a quick ERP update. With respect to the fourth quarter results, adjusted EBITDA rose 43% to $37.2 million with balance performance and contribution from all business units. Consolidated revenue grew 28% from the comparative quarter to $132.7 million with consolidated rental revenue increasing by 7% to $38.5 million. The 7% increase in consolidated rental revenue from the comparative quarter was primarily driven by MSS achieving record quarterly rental revenue of $25.9 million, up 18% from the comparative quarter. During the quarter, we also had very strong sales performance from projects in both MSS and WFS, resulting in sales revenue of $53.2 million, up 126% from the comparative quarter. Non-rental revenues of $30.9 million were down 18%, primarily due to lower ancillary activity in WFS while large services revenue was robust at $10.1 million, which is a 60% increase from the comparative quarter. WFS continues to deliver strong return on assets amidst an improving rate environment and demand for remote accommodation assets. The WFS sales pipeline remains strong and is backstopped by $30.7 million of contracted future rental revenue. LodgeLink, our innovative platform for workforce travel, continues to scale with total room nights sold increasing 23% from the comparative quarter, growing to 125,022 room nights, resulting in a fourth quarter record. Gross bookings grew 11% from the comparative quarter to $21.7 million. Growth of the platform is expected to continue in 2025, specifically as the company accelerates investment into product development to generate further opportunity and to increase market share. We remain focused on our core goals of generating strong returns and stable cash flows, in particular by efficiently and optimally managing our long lived rental assets fleet to drive these compounding returns over time. For the fourth quarter, MSS utilization was 82.4% and WFS was 60.6%. MSS utilization was down 80 basis points year-over-year as we've added fleet to meet strong demand. MSS utilization remains healthy relative to long term industry trends and moved higher on a sequential basis while we continue to deploy contract backed assets across our platform. WFS overall utilization was relatively consistent with the comparative quarter. In WFS Canada, utilization remains above 50% and we continue to see opportunities to drive incremental utilization improvements into 2025. WFS utilization in the US of 75.9% in the quarter remained at healthy levels as we remain active in various resource, infrastructure and social housing initiatives. WFS Australia utilization of 67.3% was below management expectations as we have continued to see certain project delays from customers. That said, we believe there is good upside in our Australian utilization into 2025 based on the current pipeline of opportunities. The balance sheet remains solid. Long term debt of $235.7 million and $223.6 million are up compared to the prior year, but down since Q3 2024. Despite the increase in debt from the prior year, our net debt to trailing 12 month adjusted leverage EBITDA ratio of 2 times is down from 2.2 times at the end of Q3 2024 and is at the low end of our targeted range of 2 times to 3 times, leaving plenty of dry powder. The average effective interest rate in the quarter was 5.36%, down from 6.11% in the comparative quarter and continues to decrease in line with broader interest rate movement. Subsequent to the end of the quarter, we expanded and extended our asset based credit facility. Facility was upsized $100 million to $425 million with a $75 million accordion feature and provides advance rates against categories of rental assets that were previously excluded from the borrowing base. The interest rate pricing grid remains unchanged and the term of the facility has been extended until February 2030, giving us certainty of borrowing capacity to pursue our strategic growth initiatives. All other major terms and conditions of the facility, including financial covenants, are carried forward and not materially affected by the extension and expansion. As listeners may recall, Black Diamond has undertaken an ERP systems upgrade as part of our focus on operational excellence and cost efficiency. The transition for the MSS and corporate business units is well underway and total ERP implementation expenses for this quarter were $1.4 million. Management expects this phase of the new system to go live in the first half of 2026 with total budgeted investments of $11.9 million, including all third party internal costs and software licensing for the implementation. We remain confident that the company is well positioned to sustain its trajectory of compounded returns demonstrated over the last five plus years. With a solid foundation of strong contracted rental revenue, flexible balance sheet with ample liquidity and recently expanded credit facility, we continue to have all the tools in our toolbox to methodically drive organic and inorganic growth initiatives. Altogether, this reinforces our confidence in our optimistic outlook for sustained growth into 2025 and beyond. With that, operator, I'd like to open the call up for questions and answers.
Operator: Certainly. We will now begin the question-and-answer session [Operator Instructions]. And the first question will come from Kyle McPhee with Cormark Securities.
Kyle McPhee: First one from me, for the MSS rental business. Can you give us a feel for what's happening in the spot market for rental pricing? Are they still on stable footing after the big inflation wave in trailing years or is there a trend change starting to emerge? Part of the reason I ask here is to figure out whether or not anything's going to get in the way of your remaining rental price convergence, though, and that I think you still have in front of you. It seems like you're still set up for 8%, 9%, 10% pricing gains for MSS over the next couple of years. So any color on that would be helpful.
Trevor Haynes: As you can see from the results last year MSS saw 10% average rental rate increase in constant currency, 9% in common currency. So what we're seeing is that continued trend as our contracts renew and renew at higher rates based on the inflation of new assets. Ted, in terms of specifics, Canada versus US, can you add a bit more color?
Ted Redmond: The rental rate momentum as our prices have gone up due to inflation, as the contracts are coming off rent, we have some long term contracts, three, four or five years. So although, our current rental rates are maybe flat to up slightly for like month-over-month kind of thing, as contracts are coming off rent, we're still seeing a lot of rental rate momentum, especially in our markets that have these longer term contracts. We're still seeing that rental rate momentum across Canada and the US probably a little bit stronger in the US where we have a lot of longer term contracts and strong markets, but our Canadian markets are still relatively strong and we're seeing those increases across the board still.
Trevor Haynes: I think, Kyle, we would expect the average rental rate increase last year to be applicable this year or somewhere within reason of that rate, perhaps slightly lower, but still that characteristic or dynamic is active throughout our platform.
Kyle McPhee: So flat to slightly up spot and then still the big convergence tail. One more from me on growth CapEx spend, your filings indicate and your comments indicate similar growth spend intensity versus what we just saw in 2024 as a percentage of your free cash flow, that's how you quoted it. Should we expect any weighting changes on where you're spending the growth dollars or is it still largely MSS North America, MSS Australia and largely intangibles?
Trevor Haynes: The cadence of CapEx, our allocation of CapEx is typically four to six months before the assets and the revenue stream come into our system. So we have good visibility on the quantum of CapEx coming into our system in the first half of the year. And I would characterize that as being sort of a continuation of the cadence or quantum that we saw through 2024. And again, the bulk of that has contracts in place so we have board visibility of that capital generating a return for us, very little speculative capital in our system. And so that also characterizes what I would say is a constructive view from management of continued growth in '25 when you couple the increase in contracted rental revenue off of our CapEx from last year, coupled with what we already have visibility on in our system this year. With regard to the mix of CapEx, I would say for MSS, fairly consistent. We're seeing really strong utilization in demand characteristics in our US markets. Gulf Coast from Texas all the way across to the US southeast, really good strong demand characteristics in our southeast markets, if you think about Georgia, the Carolinas, Tennessee, et cetera, and even up into the Mid-Atlantic state. So that's been consistent for a few years for us and we see that growth continuing into '25. In Canada, education continues to be very strong for us and so we're investing there. We expect another reasonably strong growth year for increased capacity for education and recontracting as well in certain provinces within Canada. Western Canada seems to have some strength around some larger industrial projects, somewhat downstream from the resource sector and so that's driving some good characteristics with investment and fleet. I would say change from last year to this year would be more strength around our WFS business. Yes, the MSS aspect of WFS in our Australian market continues to see investment but we've got some strength around certain types of accommodation assets, small format in Canada and the US, as well as in Australia where we're seeing slight uptick in investment cadence, and that's with demand in place, contracts in place, typically. So slightly different complexion this year to last year but still the majority is awaiting around our MSS business.
Kyle McPhee: And when you say cadence, it's kind of similar versus last year. Is that including the impact of the BC asset acquisition in Q2 last year that flowed through as CapEx?
Trevor Haynes: Yes, that's a good point, Kyle. What we're thinking about cadence is the organic aspect of our fleet allocation. So if you took the 109 and netted off the 20, our organic CapEx actually would be slightly stronger than that if you were to leave aside the inorganic growth of that asset or that fleet purchase.
Kyle McPhee: And then just to confirm, like the spend you're talking about similar cadence ex the BC asset acquisition, that's excluding what may happen with growth capital deployment for M&A, like you're just talking about in organic investment, correct?
Trevor Haynes: Just entirely talking about M&A -- entirely talking about organic growth, leaving out any M&A that we might do. It's very difficult to forecast or plan for M&A. However, in that topic category we continue to be active looking at good businesses or good fleets that would fit. So there is a chance that there would be some inorganic growth added this year, but we're primarily focused on organic.
Operator: The next question will come from Matthew Lee with Canaccord Genuity.
Betty Yang: This is Betty Yang for Matt Lee. Congrats on the really strong Q4. My first question is on sales and non-rental revenues, which significantly exceeded our estimates. It looks like there was -- that was driven by some one time sales opportunities. So was there any element of revenue pull forward in the results? And if so should we anticipate a normalization in sales over the next couple of quarters?
Toby Labrie: Generally, as you know, the sales -- especially sales revenue is not really consistent from quarter-to-quarter. On an annual basis, we get fairly consistent trend but we do see higher sales quarters. As you would have seen earlier in 2024, we had relatively low sales quarters. And so we had some deferrals of projects especially in MSS. And so we saw that catch up primarily in the fourth quarter. With respect to WFS, we saw some larger new manufactured sales, especially we had some used sales as well but much more significant new manufactured sales, custom sales than we've seen in many years. And so that is kind of opportunistic timing dependent. And so those things can fluctuate and don't have a really specific seasonality to them or cadence to them. So that can be a little bit lumpy. As we did mention in our comments, we do see continued strength in our pipeline for sales. So on a full year basis, in 2025, we currently don't expect to see any major changes from what we saw in 2024.
Trevor Haynes: [Multiple Speakers] important to point out the contribution from rental revenue with regard to EBITDA and EBIT is significantly higher. And so the growth in EBITDA is much more driven by the growth in our rental revenues. And so our baseline, even if sales does fluctuate somewhat over top of the platform, our baseline continues to grow and strengthen.
Betty Yang: My other question is on the WFS side, the utilization rate was flat year-over-year but there is a slight sequential decline. So just want to hear more color on the utilization level that you are seeing in Q1 so far.
Trevor Haynes: Before I pass it to Mike, I'll just remind investors that in -- up to 2023, we had two large pipeline construction projects that were generating significant amount of rental revenue and contribution, those came to an end as was expected late in '23. And so '24 is the first year where we see the performance of our WFS business in backfilling those revenues by positioning -- repositioning those assets as well as others on our platform. And why we characterize the performance of WFS as being very strong for the year was how well the business unit did, Mike, in terms of repositioning. So in terms of our current state and stability of utilization, et cetera, what color can you provide?
Mike Ridley: Betty, as Trevor touched on it, we had the two big projects that came off at the end of '23. I mean, the business is much more diverse than it has ever been in all of our markets. There is a lack of major projects in particular in Canada when I look at big pipelines that are going to require a 1,000, 2,000 person camps, they just don't exist. That being said, we worked really hard to provide geographic and industry diversification pursuing disaster housing, for example. We have camps going in and Jasper as we speak, which helps with that utilization. We're tracking the fires down in Los Angeles, for example, which may take a few months for it to sort of unfold. Over in Australia, our education business remains strong, which helps with improved utilization. And down in the US where our utilization is quite strong down there, we're adding capital into that market for project specific opportunities. So I think the business is more balanced, its more diverse than it's ever been and the reliance on major projects to drive utilization is far less than it was many years ago.
Operator: The next question will come from Sean Jack with Raymond James.
Sean Jack: I was wondering if you guys could provide any more color on what happened in the period of LodgeLink with the slight slip in net revenue and revenue per room?
Trevor Haynes: Overall, LodgeLink has had another good growth year. Q4 compared to the prior year Q4 came in lower. Q4 is typically the slower quarter for workforce crew travel for the obvious reason that you've got the annual holidays in there, so a little bit less travel. But even so, on a comparative basis from prior year, it shows a little bit weaker. Some of that is just revenue mix between the type of supply we're using. We had slightly higher bookings into camps, not necessarily Black Diamond but third party and we tend to have a lower margin over camp rooms. We also are seeing a slight change in certain markets on average daily rate of hotels. So we work off a percentage discount from your best available rate. And so as hotels reduce rates as they react to supply and demand in their area our percentages come down. So partly the revenue mix even though volumes were going up. So ADR is coming down slightly, different mix of which type of supply was being used. And then also Toby, a slight change in capitalization of some of our costs.
Toby Labrie: So as far as the cost structure, we do capitalize a certain amount of our internal labor that's developing the product. And in the current year, the mix of activities that led to our capitalization was slightly lower, especially in the fourth quarter and so that had an impact there as well.
Trevor Haynes: I'll just add to that, Sean. We look at the base characteristics of Lodgelink and coming into 2025, the underlying growth, customer capture and retention is in place. ADRs do fluctuate and the mix of supply fluctuates somewhat for us. But when we look at core driver, it's volume growth, volume growth in the year and in the quarter, in our view, is helping.
Operator: The next question will come from Frederic Bastien with Raymond James.
Frederic Bastien: Just a quick question on the tariffs. If we go back to I guess two, three years ago, we had supply chain issues that really drove inflation higher and we benefited from that. Should the tariffs and trade tensions kind of do have the same impact on overall inflation, wouldn't that be good for your business, assuming it's not destructive on the overall economy? Just curious on that front.
Trevor Haynes: Yes, inflation -- tariffs inform inflation, generally speaking, we benefit. And the way we benefit is of the 20,000 units or buildings that we own, our cost for those buildings is fixed when we acquired them. Yet they work at today's spot rate when they go out to work. And so as spot rate rises we benefit quite well off of the higher rental rate against assets that we had bought in prior periods. And so we would expect generally with inflation our average rental rates continue to rise. We work very hard to ensure that every asset that we put out into the marketplace and garner the same rental rate, whether it's one year old or six years old. Now, if tariffs inform a reduction in overall economic activity that's where we have to have some concern of the health of our customers and their activity in terms of demand for our buildings and our services. We're of the view though Frederic that certain projects and what we're hearing from policymakers is ramping up of certain types of resource and infrastructure, construction, whether it's high speed rail and -- between Quebec and Ontario or accelerated permitting for mines that we're hearing in British Columbia. Additional LNG, we would -- the -- far more greatly benefit from those type of projects and activity then a reduction in private sector urban construction around large cities in Canada. So there potentially is a sort of a derivative benefit to us as much as we're concerned about a derivative negative impact of lower economic activity. So that's the way we're looking at it generally, beneficiary for inflation, potentially a beneficiary for a switch in large capital spending towards resource and infrastructure.
Frederic Bastien: The other question I have relates to I guess M&A and the discussions you might be having with mom and pops and potential targets. Given the uncertainty we're facing now, is that -- are these discussions kind of off the table right now or are you still kind of -- just curious as to the level of activity you're kind of seeing right now and potentially in the next several months?
Trevor Haynes: No, we don't really comment on M&A. And as we said earlier, it's really hard for us to predict or plan for M&A. I can say that we continue to be active. We've got an active pipeline of conversations. There's always the concept of a bid ask spread. And sometimes in these situations of dislocation views of value can change. We've been of the view that the ask has been unrealistically high recently. And so if that changes we certainly could be more transactive. We feel very confident in the underlying business and how this asset class works and our ability to garner an attractive return for our shareholders. And so we have confidence to acquire if we can get the bid ask spread to what we think makes sense for us in terms of the return we're looking for on our capital.
Toby Labrie: And I would add to that, Frederic, that with our expanded facilities, we have the capacity to make acquisitions. And if that spread narrows, as we've seen in past challenging times, for example, during COVID in 2020, we bought Vanguard Modular. And so that allows us to be somewhat countercyclical.
Operator: The next question will come from Trevor Reynolds with Acumen Capital.
Trevor Reynolds: Just a quick one on LodgeLink, just on the unique customers and just curious if there's any new kind of major customers that you guys have added over the last little bit. And then just on the properties, where the primary driver of growth has been on that front?
Trevor Haynes: We differentiate our customers by tiers and also by industry verticals, Tier 1, Tier 2, Tier 3, based on their annual spend for workforce travel and then we track by verticals. We continue to see growth in the number of customers. I believe currently on a daily basis, we have in the neighborhood of 150 different companies booking through our system, which is quite a bit stronger than a year ago or certainly several years ago. We view that as healthy. With regard to the Tier 1s, we're seeing significant growth over the last year and a couple of years from the transportation vertical, if you think about large rail companies, large transportation companies. As well as different types of infrastructure maintenance, highway and road maintenance, in all three countries has been growing as a vertical for us, along with elements of high line power infrastructure maintenance. And of course, energy and resource services, where a significant number of crews being moved to remote areas where work needs to take place. So I would say the most significant growth that we're seeing, Trevor, has been over top of the resource sector, which is sort of the first vertical of growth for us. The biggest growth is coming from transportation specifically railroads.
Trevor Reynolds: And then in terms of where you guys have been adding properties maybe just kind of an update over the last year where the majority of properties that you guys have been adding.
Trevor Haynes: We have continued to fill in our US map significant property concentration being added around some of the core rail corridors within the US probably where we've seen the most growth. And then we have been scaling up our platform in Australia. First, we have to bring supply on before we can bring demand. And so our team there has done a really good job of bringing on supply in most areas of Australia. We've got a bit of work left to do there and so that's been an area of concentration as well. But currently, we can offer supply capacity essentially everywhere in North America and increasingly in all six states in Australia.
Operator: Our next question comes from again Kyle McPhee with Cormark Securities.
Kyle McPhee: Just one quick follow up from me. For the WFS rental business, it looks like implied rental pricing has jumped up a bit. Is that just a lumpy mix dynamic in Q4 or are you actually getting price inflation starting to flow through WFS? Now I know MSS has been a big beneficiary of inflation but not really WFS [indiscernible]. So is that starting to change?
Trevor Haynes: The question was WFS rental increase, do you like to add some color there?
Mike Ridley: Yes, we have seen some improvement with our existing assets in terms of the growth that's tied to that but also in part with some of the new capital that we've been adding to the business, some of the smaller format assets that are more diverse and set up for smaller projects, garner a much higher rate than a lot of our existing assets. So I think it's a combination of both of those things. And a fairly stable workforce market in terms of where rates have been and where they're at, I think has also helped to keep rates where they are and growing a little bit.
Toby Labrie: Maybe to add to that. We don't have quite the same dynamic as in MSS. However, when you look back five years ago or so, prices have increased quite a bit since then, Mike. And so where we did see, especially those two large pipeline camps that were on rent for several years. When you look year-over-year, we're seeing the impacts of -- as Mike mentioned, those smaller projects but also at current rates, we have seen an improvement there. And so even with flat utilization, we're seeing improving rental revenue characteristics.
Operator: With no further questions. This concludes the question-and-answer session. I would now like to turn their conference back over to Trevor Haynes for any closing remarks.
Trevor Haynes: Thank you. And thank you everybody for joining and for your interest in Black Diamond. Once again, we're very pleased with Q4 and full year performance and we look forward to updating you again after Q1. Thank you and have a great day.
Operator: This brings to a close today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.